Operator: Ladies and gentlemen, welcome to the Clariant Third Quarter 9 Months Figures 2022 Conference Call and Live Webcast. I am Sandra, the Chorus Call operator. [Operator Instructions] At this time, it's my pleasure to hand over to Andreas Schwarzwaelder, Head of Investor Relations. Please go ahead, sir.
Andreas Schwarzwaelder: Thank you, Sandra, and ladies and gentlemen, good afternoon. This is Andreas speaking, and it's my pleasure to welcome you to Clariant's third quarter 9 months 2022 results conference call and live webcast. Please note that all information provided today reference the reported Q3 9 months 2022 results and the restated Q3 9 months 2021. Joining me today, as usual, is Conrad Keijzer, Clariant's CEO; and Bill Collins, Clariant's CFO. Conrad will start today's call by providing a summary of the third quarter development followed by Bill, who will guide you through the group's financials and provide some brief business area comments. Conrad will then conclude with a few comments on Clariant's full year 2022 outlook. There will be, as usual, a Q&A session following our presentation. At this time, all participants are in listen-only mode. I would like to remind all participants that the presentation includes forward-looking statements which are subject to risks and uncertainties. Listeners and readers are therefore encouraged to refer to the disclaimer on Slide 2 of today's presentation. As a reminder, the conference call is being recorded, and a replay of the call will be made available on the Clariant website shortly after the call. As a final housekeeping comment, please note that all figures discussed today refer to continuing operations unless specifically noted otherwise. Let me now hand over to Conrad to begin our presentation.
Conrad Keijzer: Thank you, Andreas. Good afternoon, everyone. Welcome to our third quarter 2022 results conference call. As you can see on Slide #4, Clariant delivered particularly strong sales growth in the third quarter of 2022, with an increase of 27%, in local currency versus the third quarter of 2021. This increase included two main elements. Firstly, we increased our selling prices by 18% and year-on-year versus the third quarter of 2021. I would like to recognize that we also achieved a further sequential pricing increase of 3% in the third quarter versus the second quarter of 2022. The progress we made in the last six quarters reflects our now established capability to effectively offset higher raw material, logistics and energy costs. Secondly, we grew sales volumes by 9% organically by delivering unique value to our customers, we have been able to consistently outgrow our markets. Clariant increased sales in all businesses and in all geographic regions in the third quarter. We increased our Care Chemicals sales by 24% in local currency in the third quarter via double-digit growth in consumer care and industrial applications. Our Catalysis sales grew by 28% in local currency, primarily due to volume growth in petrochemicals and specialty catalysts. Natural Resources sales increased by 30% in local currency with growth attributable to all three business units, with particularly strong demand for our halogen-free flame retardants. All regions contributed to the positive sales development in the third quarter of 2022, as reflected on Slide #5. In Europe, we saw strong local currency sales growth of 22% as we increased prices in the business area Care Chemicals and Natural Resources. Catalysis reported a notable volume decline in Europe, while Care Chemicals and Natural Resources' volumes decreased slightly. In Asia Pacific, the 19% sales growth was driven by a volume increase in Catalysis with strong growth in China due to the new CATOFIN plant which is running at planned capacity levels. Pricing in Natural Resources, especially in additives and OMS, also boosted our sales in China. Care Chemicals reported strong pricing in Asia Pacific, compensating for the volume decline caused by customer destocking. We saw strong 30% sales growth in North America, which was attributable to all business areas, especially volumes in Catalysis and both volume and pricing in Natural Resources and Care Chemicals. The 38% higher sales in Latin America resulted from strong pricing in Care Chemicals and Natural Resources, and a volume pickup in Natural Resources and Catalysis. In Middle East and Africa, the significant sales growth was underpinned by pricing and volume growth in Natural Resources and Catalysis. As you can see on Slide #6, in the third quarter, we reported -- the reported EBITDA increased by 29% to CHF220 million. The corresponding EBITDA margin rose by 130 basis points to 16.8%, increasing from the 15.5% reported in the third quarter of 2021. We are pleased with the continued progress of our pricing actions. The 18% price increase implemented in the third quarter, again, fully offset the impact of 24% higher year-on-year raw material cost, 60% year-on-year energy cost and 6% higher year-on-year logistics costs. We continue to make solid progress on our strategic priorities as reflected on Slide #7. Clariant established a Green Financing Framework and successfully issued its first green bond. The proceeds of CHF175 million will be used for eligible assets, which will drive sustainable innovation to support Clariant's purpose led growth strategy. Clariant announced a CHF40 million investment for a second production line at the Daya Bay production plant in China for our patent-protected halogen-free Exolit OP flame retardants. The initial Daya Bay flame retardant plant is on track to commence production in mid 2023. This second line is expected to come onstream during 2024. Production from this location will support rapidly growing demand from China and Asian based component manufacturers for innovative and sustainable fire protection in electric vehicles, consumer electronics, 5G communication, infrastructure and appliances. We have agreed to divest our North American Land Oil business to Dorf Ketal, an India headquartered specialty chemicals manufacturer and services provider. This divestment is a further step to structurally improve Clariant's portfolio and sustainability profile, while focusing our operations on specialty chemicals and value-adding solutions. Clariant's North American Land Oil business is a provider of chemical technologies and services to the North American oil and gas industry and generated sales of US$113 million in 2021. The sales price, subject to standard closing conditions, is set at US$14.5 million. This transaction will result in a noncash impairment of approximately CHF245 million, which will be recorded in the fourth quarter and does not affect EBITDA as presented for the third quarter of 2022. This transaction is expected to be closed in the first quarter of 2023. Let me conclude by providing an update on our sustainability transformation commitment as seen on Slide #8. As a global specialty chemicals company with products and solutions we provide have a positive impact on many aspects of everyday life. We see the impact we have as an opportunity to generate the value for people with safe chemistry and the responsible use of resources to enable a sustainable future in every way we can and above all, to add value with sustainable innovation. This is a prerequisite for being successful, for generating the greatest value for society by addressing its largest challenges. This means that we create safe solutions to address the following 5 key sustainability challenges of our time, which are reflected on this slide: climate change, circularity, sustainable bioeconomy, waste and pollution and social value creation. On Slide #9, we see an example of Clariant's achievements to fight climate change. The collaboration between Technip Energies' innovative technology solutions and our Catalysis expertise has resulted in an Enhanced Annular Reforming Tube for Hydrogen production called EARTH. EARTH combines a recuperative reforming technology developed by Technip with Clariant's catalyst that enables simultaneously efficient heat recuperation at high conversion rates. This is a breakthrough in sustainable hydrogen production via steam methane reforming, which offers producers a cost efficient way to save energy or to increase capacity with a decreased CO2 footprint. Clariant and Technip Energies recently got recognized with two industry awards. ICIS, the world's largest petrochemical market information provider, selected this technology as the Best Process Innovation in the ICIS Innovation Awards for 2022. EARTH also won the Best Refining Technology category of the Hydrocarbon Processing Awards 2022, a program that honors the downstream energy segment, leading innovation. On this positive note, I would like to now hand over to Bill for further details on our financial performance.
Bill Collins: Thank you, Conrad. Ladies and gentlemen, good afternoon, and welcome. Turning to Slide 10. We had a very strong third quarter with an increase in sales of 27% in local currency and an increase in EBITDA of 29% to reach an EBITDA margin of 16.8% versus 15.5% reported in the third quarter of 2021. This profitability improvement was the result of ongoing pricing measures, which enabled us to fully offset the higher raw material, energy and logistics costs. Operating leverage from increased sales also contributed positively to the margin increase. Moving to the discussion of our third quarter development by business area, I will start with Care Chemicals on Slide 11. Although Care Chemicals sales increased by 24% in local currency, supported by double-digit organic sales growth in both consumer care and industrial applications, the quarter was also characterized by softening demand and selective customer destocking which resulted in a flat volume development for the quarter. However, all geographic regions boosted sales, mostly driven by Europe, North America, Latin America and the Middle East and Africa. In Consumer Care, sales increased in a double-digit range in all three businesses: Personal Care, Home Care and Crop Solutions, in particular. The sales contribution from the Beraca acquisition contributed sales of approximately CHF2 million in the third quarter. Industrial Applications sales growth progressed at a low-teen rate, despite its seasonal nature, the Aviation business made positive contributions in specific regions. The Care Chemicals absolute EBITDA grew by 20% and the margin increased by 60 basis points to 22.6% from 22% in the third quarter. This increase was underpinned by active price management, while raw material costs decreased on a sequential basis and positive one-off items contribute in a high single-digit range. There was no impact from inventory revaluation. However, logistics challenges persisted. Continuing with Catalysis on Slide 12. Catalysis sales rose by a strong 28% in local currency versus the solid comparison base in the third quarter of 2021. The sales growth in petrochemicals and Specialty Catalysts significantly outpaced the weakness at Syngas, as anticipated, despite continued logistical challenges. Our new CATOFIN production plant in China continued to run at high capacity levels and produce orders for delivery in both the third and fourth quarters of 2022 as well as for 2023. And has significantly improved our ability to serve the growing demand in the region going forward. Although the absolute Catalysis EBITDA increased by 15%, the EBITDA margin decreased to 11.5% from 12% despite the more favorable product mix. The three main factors influencing this development in order of importance include: first, ongoing project expenses, higher chemical consumption and elevated raw material and energy costs related to the new sunliquid production plant in Romania. Second, a temporary margin squeeze due to continued pressure from high raw material, logistics and energy costs, which have been addressed by adjusting the relevant pricing models, though the long catalyst product lead times resulted in a cost-to-pricing mismatch and the corresponding time lag; and finally, the negative impact of the suspension of all business with Russia. Traditionally, our Russian business had very accretive margin levels. I will now discuss the business area, Natural Resources on Slide 13. Natural Resources sales increased by 30% in local currency in the third quarter due to growth in all regions and in all three business units particularly strong growth in Additives. Oil and Mining Services sales expanded in double-digit percentage range in the third quarter. Oil Services sales reflected a notable year-on-year improvement due to strong market demand, while Mining Solutions sales increased significantly, supported by successful pricing measures. Sales in Functional Minerals grew in a double-digit percentage range with positive developments in Purification and Cargo & Device Protection. The Foundry business also increased sales at a low-teen rate again exceeding the absolute levels achieved in the third quarter of 2019 prior to the COVID-19 pandemic. Additive sales rose most significantly among the three Natural Resources business units with robust growth in all key regions and in Automotive as well as electronic applications despite softening volumes in customer destocking. As a result, the share of Additive sales in Natural Resources has continuously increased while the EBITDA margin at Additives continues to be significantly above the average of the Natural Resources business area. In the third quarter of 2022, the absolute EBITDA increased by 38% and the margin rose to 20% from 17.6%, reflecting a 240 basis point improvement. The strong top line advance in tandem with pricing measures, mitigated the negative impact from higher raw material costs and rising energy prices. Positive one-off items contributed in a mid-single-digit million range. Let me conclude my review with our short-term outlook for the fourth quarter on Slide 14. In the fourth quarter of 2022, we expect Clariant's continuing operations to generate solid local currency sales growth in a year-on-year comparison, primarily driven by pricing in all business areas despite an expected sequential nominal -- normalization in Care Chemicals and Natural Resources and an increasingly tough comparable base. From a sequential perspective, we expect to see a modest decline in the fourth quarter. Despite a slowdown in volumes, the underlying EBITDA margin is expected to come close to the previous year level by maintaining pricing levels and cost discipline to counter the continued high raw material, logistics and in particular, energy cost levels. Clariant expects the Catalysis performance to further improve despite a continued burden from the sunliquid ramp-up. Additional restructuring charges will be booked in the fourth quarter due to the cost of implementing our new operating model. The reported EBITDA margin in the fourth quarter of 2022 is, therefore, expected to be lower than the restated year-on-year margin levels in the previous year. With this, I close my remarks and hand back to Conrad.
Conrad Keijzer: Thank you, Bill. As we previously communicated, in the fourth quarter, we expect to report continued sales growth based on higher prices, but weaker volumes, in part due to the higher comparison base and in part due to the anticipated economic slowdown. For the full year 2022, we expect to generate strong local currency sales growth in a year-on-year comparison to around CHF5.1 billion based on the strong results in the first 9 months of 2022 and higher pricing compensating for the lower demand in certain end markets. We expect to improve our year-on-year underlying EBITDA margin despite a continued negative contribution from the ramp-up of our new bioethanol plant. Higher pricing will offset raw material inflation and further cost savings and continued cost discipline will help to sustain our profitability. The reported EBITDA margin level will be impacted by restructuring charges in the fourth quarter for the implementation of our new operating model. As we previously explained, our new operating model will simplify our organizational structure and enable further progress towards our confirmed 2025 goals for growth and profitability. We continue to make progress with the transformation of the group into a true specialty chemical company. And therefore, we expect to continue to benefit from our innovation driven specialty portfolio and the contributions and synergies generated by our bolt-on acquisitions. In our view, Clariant is well-positioned to outpace the market and to continue to deliver profitability. Our new team remains committed to taking the next steps to meet our 2025 targets, which we introduced last November. Meanwhile, we continue to prioritize to deliver our full year 2022 operational performance. With that, I turn the call back over to you, Andreas.
Andreas Schwarzwaelder: Thank you, Conrad, and thank you, Bill. Ladies and gentlemen, before we begin the Q&A session, we would kindly ask that you please limit the number of questions to two, thus providing more participants the opportunity to ask questions. Thanks for your understanding. We will now open the line for questions. Sandra, please go ahead.
Operator: [Operator Instructions] The first question comes from Christian Faitz from Kepler Cheuvreux. Please go ahead.
Christian Faitz: Yes. Thank you very much. Two questions. No comments, please. First of all, can you give us an indication of where you see free cash flow evolving towards the end of this year so, i.e., for fiscal '22? And then second question, what are the operational difficulties you are referring to pertaining to sunliquid? Are these issues process related? And as such, would they also affect your license business? Thank you.
Conrad Keijzer: Yes, Christian. Good afternoon. Thanks for those two questions. Yes, let me comment on the ramp-up of our sunliquid business and then Bill can provide some color on our free cash flow projections for the full year. Yes, so first, let me remind us that we are talking about a first of its kind technology that we are scaling up here in Podari in Romania. Needless to say that doesn't go -- come without challenges. What we are seeing right now is that we actually are making solid progress on addressing some of the mechanical challenges that we had earlier on as far as it was related to the pretreatment of the straw, the milling of the straw. But now actually, what we are seeing is that we are not achieving, yet, the yields that we’ve been able to achieve in our pilot plant, and we are also seeing some elevated costs for chemicals as well as for energy. Meanwhile, Christian, we are continuously getting very positive feedback from the market, there is a pool [ph] for this technology. Also considering recent events, there is an even higher urgency right now for an energy transition in Europe. So, yes, as you can imagine, we continue to be very committed to make this all work. On that note, Bill, if you could provide some color on the cash flow projections?
Bill Collins: Yes. Certainly, Conrad. Thank you, Christian. I think our objective for the end of this year is to show a market improvement in free cash flow and free cash flow conversion relative to what we generated in 2021. And to be fair, we are already starting to see positive momentum in that direction with decreases in inventories in Q3 and further improvements expected in Q4.
Christian Faitz: Thank you very much.
Operator: The next question comes from Markus Mayer from Baader-Helvea. Please go ahead.
Markus Mayer: Good afternoon, gentlemen. Two questions from my side as well. Firstly, on the divestment of the North America Land Oil business. Could you shed more light on what was the logic of this divestment and also why the multiples have been low? And also what the earnings contribution of this business was in the past? And my second question would be then on the risk of inventory devaluation, if you see any in the fourth quarter or -- then also going into next year? Thank you.
Conrad Keijzer: Yes. Thank you, Markus. I will take the first question on the North America Oil Land business, and Bill can provide some color as far as inventory devaluation risk in the coming quarter. Yes. So to your question on this divestment of the North America Land business, well, first of all, the multiples for this divestment were not low. Let me basically make that clear. So that already tells you at 14.5 million cash payment that the earnings were extremely limited on this, and it was actually a unprofitable business. I mean the headline numbers that we disclosed were a top line last year of US$113 million. Yes, we didn't disclose an EBITDA number, but clearly, this was highly dilutive to the overall business in OMS. Yes, not a strategic business. This actually was primarily a distribution and resale business with some services to it. It dates back to two acquisitions that the company made back in 2016. Two companies with the name of Kel-Tech and X-Chem. And in reality, we were -- yes, reselling chemicals from other companies and only for a small percentage, it actually concerns our own chemicals. So actually, we are pleased that we were able to close this transaction and that we basically have found the right owner for a business, which was not strategic within our portfolio. It lifts our profitability profile, it lifts our sustainability profile. Bill, could you comment on the inventory devaluation?
Bill Collins: Absolutely. So with regard to the inventory devaluation, we do expect to see some of that, which is natural as you see raw material prices coming down. I mean just as we saw a positive revaluation as raw materials increase, but the overall shape of the curve on raw material suggests that it will not be a significant amount in terms of the inventory devaluation. We have seen some sequential decline in raw material prices quarter-on-quarter. But as we discussed last time, it is in a situation that is with a gradual decline as opposed to a precipitous fall. We also will actively manage this through our own destocking, our own reduction in inventory levels as we see our customers basically do the same. So overall, yes, it's something that we are watching closely with regard to the hit on inventory devaluation relative to the decline in raw materials, but it's something we are expecting to be able to manage through.
Markus Mayer: Okay. Thank you.
Operator: The next question comes from Andreas Heine from Stifel. Please go ahead.
Andreas Heine: Yes. I would like to start with Natural Resources. You mentioned restructuring charges in your outlook. What are that for? I know that is impairment you mentioned, but I think that's not what you mean with restructuring charges. And then still coming back on sunliquid, what I'd like to understand is these years you have -- you said that the enzymes do not perform as you expected. Or what is it exactly? What limits the yield?
Conrad Keijzer: Sure. Yes. So as far as the restructuring, your first question, Andreas, this is actually not limited to Natural Resources. What we are doing is actually a company-wide implementation of our new operating model. What we announced halfway in the year was a delayering where we basically took out the layer of the executive committee in the company, where we reduced the number of business units from 5 to 3 and where these business units are now directly reporting to myself. What we noted at the time when we were looking in more detail at the overall [indiscernible] setup was that we had some instances where we had, literally as an example, 11 layers of management between myself and an operator in one of our plants. Too many layers between myself and a sales representative visiting customers. So we basically are working on an org redesign that reduces the number of layers to a maximum of 6, between myself and our frontline people. And at the same token, we basically are critically looking at staff levels in our corporate functions and support. So this very much is associated to our G&A costs. As a reminder, Andreas, the company got significantly smaller in the recent years but had not adjusted its top structure yet. In terms of your question on restructuring charge and sort of as an indication, unfortunately, we first obviously, like to talk to our employees, to our employee representatives and works council. So we cannot give you a granular breakdown. But in terms of a range, we do expect mid double-digit million cost for this actually with the majority of it in the fourth quarter. And also, this whole redesign will be largely done with by the end of this year. Then your second question …
Andreas Heine: Thanks for that. That is really helpful. But I was referring to the outlook slide on 14, where in Natural Resources you specifically in this segment, mentioned restructuring charges. I just wanted to know that there's any specific going on in Natural Resources itself.
Bill Collins: No, that's part of it, Andreas.
Andreas Heine: Okay good.
Bill Collins: So the number Conrad just gave is for the entire group, right? And the one element is related in the Natural Resources business.
Andreas Heine: So it's nothing different. Okay. Thanks.
Conrad Keijzer: Yes. No, it is part of that larger, yes, restructuring that we are doing and implementing in the fourth quarter. Your second question on the enzymes. So basically, yes, this is biotechnology. We have actually had this operation up and running in a pilot plant for almost 10 years. So basically, we know that the enzymes are capable to achieve certain yields. We've just not seen this yet in -- out there in Podari at the plant level.
Operator: The next question comes from Andrew Stott from UBS. Please go ahead.
Andrew Stott: Yes, good afternoon. Thank you for your time. Yes, a couple of questions, please. I'm slightly surprised by your guidance for revenue. So if I take the 9-month number and take off the CHF5.1 billion to get the implied Q4, it sort of suggests there's no growth in revenue in Q4, which I think, Bill, as you said in your slide narrative, 18% you're carrying into Q4 on pricing. So that implies a pretty dramatic volume decline. So first question is why only CHF5.1 billion? Is that a measure of how soft volumes are? And then the second question is more of a technical one around the Catalysis contracts. Conrad, you mentioned that there was a delay. There was a lag in terms of getting those contract pricing actually pushed through to the customer. Can you detail that? Because I'm still surprised at just plus one for the quarter, considering you talked about implementing these changes in the first half. Thanks.
Bill Collins: Sorry, accidently hit mute. If I can maybe start with the sales guidance, we signaled last time and we are still expecting into Q4 that we have softness of demand, we have destocking actually occurring, order delays in certain parts of the business, most notably in Care Chemicals and also in Additives. And that is counterbalanced to a certain extent with the renewed growth that we are seeing in Catalysis. In terms of that run rate through the end of the year, I mean I think if I look at the overall consensus, it's lining up pretty well with what we are seeing internally in terms of the expectation for Q4. So, overall, we still feel pretty good about that CHF5.1 million guidance.
Conrad Keijzer: Okay. Yes, Andrew, so regarding your other question on Catalysis and why are sort of the price increase is not coming through yet to the extent that maybe you had anticipated. Well, let me say there's a few elements to the margins in Catalysis. So they indeed have not picked up yet from last year with the EBITDA margin at 11.5% in the third quarter. So if you break it down, what we did see is actually some follow through on the price increases that we implemented earlier in the year. Please be aware, there is a 6 to 9-month delay between typically the moment that we take the order and that it finally ships and in between that period, yes, for us, it's not -- it historically was not possible to adjust pricing. Now we have changed that practice, but we still have orders in the system. In fact, we have orders in the system as long as even 18 months in terms of lead times, when it's, for example, a new build business, we have even a longer horizon. But we are seeing it coming through to some extent. One of the challenges on EBITDA margins that we saw in the third quarter is a bigger dilution from the ramp-up in Romania of our new Podari plant. So we are seeing some higher project costs than previously anticipated, and I think I alluded to that before. And finally, I think Bill mentioned it earlier in the call, there is the impact of the suspension of the business with Russia, which was actually a very profitable business.
Andrew Stott: Conrad, sorry, can I just steal a tiny third question? You don't guide for Q4 underlying margin, you only guide for reported. So I get the message there on the charges. Can you comment on how you see underlying margins year-on-year in Q4, please?
Conrad Keijzer: Yes. Sure, Andrew. Yes, so I think if you basically look at our reported margins, had we not done the restructuring, which we are right now working on. Then, in fact, you would have seen underlying for the full year, an improvement clearly from last year in terms of EBITDA margins. So the 16.2% that we did last year, we are going to end up higher than that. However, we’ve this restructuring charges, which clearly are a one-off. And because actually, this is a mid double-digit million number, we felt it was appropriate to already guide for that right now.
Andrew Stott: Perfect. Very clear. Thank you, Conrad. Thank you, Bill.
Operator: The next question comes from Jaideep Pandya from On Field Research. Please go ahead.
Jaideep Pandya: Thanks. First question is really on Care Chemicals. Yourselves and quite a few of your peers have seen a market improvement in margins in the whole EO chain in the last sort of four quarters. Could you just highlight sort of what is driving this? And what is the sustainability of this 22% margin level, especially considering, historically, you used to have a decent de-icing business and the last 2 years, that has sort of dropped off a little bit. So should we think that [technical difficulty] next year, this 22% margin level sort of can be maintained? Or on the other hand, do you expect some normalization in the Care Chemicals margin levels? That's my first question. And then the second question really is around Catalysis actually. So given the lead time and the order backlog that you have with regards to CATOFIN or polypropylene, could you actually tell us when do you expect to go back to the original sort of corridor of 22% to 26% margin range in this business? I mean, maybe excluding the Romanian sunliquid business, given the fact that maybe that is a drag. So I just want to understand on an underlying basis, when do we go back to the old catalyst days? Thanks a lot.
Andreas Schwarzwaelder: Sorry, Jaideep, we lost the connection for a while. Unfortunately, I have to ask you to repeat your question. I apologize for that.
Jaideep Pandya: No problem. So my first question is on the Care Chemicals side where I'm just asking basically the margin level of 22%, the stage that we see, which has been elevated for not just Clariant, but for other companies as well. What is the sustainability of this considering you might get de-icing business next year, which is higher margin? But on the other hand, is there a risk for normalization in the EO chain? And the second question is really around Catalysis, where I'm basically wondering when do we go back to the old 22%, 25% margin range, considering you have good visibility on CATOFIN and polypropylene and also on the price initiatives that you just mentioned about. So is it going to take 12 months? Or is it going to take longer than 12 months to go back to the 22% to 25% margin range? Thanks a lot.
Conrad Keijzer: Yes. Sure, Jaideep. Thanks for your two questions. First, on Care Chemicals, yes, we are very pleased with our performance in Care Chemicals, the 22% EBITDA margin, which -- yes, which basically is a reflection of our ability to fully pass on raw material cost, freight cost as well as higher energy costs. But I think what is underlying there is also the repositioning of this business. So what you see is that actually two-thirds of the business now is consumer-facing and what you see is that the share of business within Care Chemicals of the consumer applications is actually significantly up in relation to the industrial segments. Don't forget that we made two accretive acquisitions here, Indian glycols, which are the bio-based surfactants -- surfactants based on bioethanol. The acquisition we made in India. Also, the acquisition we made in Brazil, Beraca, accretive, natural products out of the Amazon. Creams, oils that basically are accretive. So even though, yes, Aviation was lower, but it's actually back to the run rates now -- almost recovered run rates, but even if we were to have a strong Aviation season, you still would see a lift versus the historic levels that we did achieve in the past for Care Chemicals. Your second question on Catalysis. Yes, we had historically, but you need to go a while back, but we did have indeed margins there north of 22%, 23%. Be aware that it's not entirely like-for-like. There was the scientific design business in there. And now we actually have our biofuels business in there. So we do need to obviously see the ramp-up in biofuels, resulting not just in profitable sales, but also in profitable business with our licensees. And we have that right, plus the share of Petrochemicals business in catalysts that we're targeting then actually, you should see those numbers coming back above 22%, 23%. But there is a few elements here that we are working on, as you can imagine.
Jaideep Pandya: Okay. So it's normal for us to then think this is more a 24% story, not a 23% story because we -- at least for me, I've been thinking it is really because of the price versus energy cost and raw material lag, which is why your margins have taken a hit. But you're pointing out to a couple of structural reasons. So it's more 24% than 23%, we should expect this?
Conrad Keijzer: Yes, it's more 24% than 23%. That's correct.
Jaideep Pandya: Thank you so much, Conrad for the clarity. Thank you.
Operator: The next question comes from Alex Stewart from Barclays. Please go ahead.
Alex Stewart: Hello, good afternoon. Your volume growth in Catalysis was pretty extraordinary. I think the strongest volume performance you've ever done and the comparable period wasn't particularly weak. Clearly, you had the ramp-up of the CATOFIN PDH plants in China, but can you just explain whether there was some unusual order patterns in the third quarter or perhaps how much the new plant contributed to that volume growth, so we can begin to dissect it a bit because it's really unusual in size. Thank you. I think you might be on mute again.
Conrad Keijzer: Yes, Alex, thanks for the question. We were very pleased with the volume pickup in the third quarter, 27% versus the same quarter last year. There's a number of elements here. There is, indeed, as you mentioned, the additional business that we see coming in from China for our CATOFIN business, that is definitely an effect. But there also was the effect of the delayed order book that we basically had from Q2. So we did see in the second quarter some orders that were actually pushed into the third quarter by some of our customers, which made it indeed an unusually strong quarter. But what is actually going to stay is this element of the business in China. Now, yes, as you can imagine, we cannot break down the single plant business in China for our CATOFIN business that would, for sort of competitive reasons, not be the right thing to do. But it is -- yes, it is quite a significant part of that 27% pickup, which is going to stay also into quarters to come.
Alex Stewart: So if I could [indiscernible] a guess on the fourth quarter volume performance, I mean, it sounded like it could be less than 27%, but probably more like -- more than 10% on accounts of the continued ramp-up of the China plant, is that fair?
Conrad Keijzer: Yes, I'd say the 27% was an unusually high number. Let me put it that way, but we do expect also a good solid fourth quarter on Catalysis.
Alex Stewart: Okay, great. And then finally, the new operating model, which you talked about with the restructuring charges, it sounds like that's going to involve headcount reductions from the sound of your comments they're going to be towards the upper end of the average salary range for the company. So what are the savings that are associated with those efforts? Clearly, there's an internal organization element to it, but is there a Swiss franc amount you can help us understand that might benefit the bottom line next year?
Conrad Keijzer: Yes, sure. Well, Alex, so the reason we actually redesigned the organization, the reason we actually defined our new operating model was very much to set up the company for growth. So we basically wanted to be closer to our customers, less layers of management, more empowerment for the front line, full P&L responsibility for business units. And finally, we wanted to organize the business unit around market segments really to set them up for growth rather than a regional set up. Now with that, there is indeed the loss of positions. And with that, indeed, there are also savings. Yes, I gave some indication on what to expect in terms of restructuring charge. You correctly mentioned these are the higher salaried positions in the company. Typically, what we would see is a payback of somewhere in between 1 and 1.5 years for this restructuring. So it should indeed definitely set us up for the future, not only from a growth perspective but also from a profitability point of view.
Alex Stewart: So if you do 50 million of restructuring charges, that implies you're getting annualized cost savings of say CHF30 million to CHF50, is that fair? This is quite a substantial amount.
Conrad Keijzer: So I -- we didn't want to guide in a granular way on it. This is still -- we are still working on this as we speak. We are in all kinds of processes with employee consultation, works councils. So yes, and maybe one thing to add, do the mathematics that you just present. So when we say a mid double-digit million range, that is sort of the total parts, not all of it is going to be Q4. But yes, the vast majority will be.
Alex Stewart: Very helpful. Thank you.
Conrad Keijzer: Obviously, Alex, you will get the full details at our full year results. We will be very granular in what exactly we have been doing here as well as the savings.
Alex Stewart: Great. Thank you.
Operator: The next question comes from Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yes, hi. Thanks. A few questions. Can you -- I know you've given some color on Q4 on a year-on-year basis, but I'm just curious on a quarter-on-quarter basis, so compared to third quarter and on an underlying basis, so excluding the special items. Typically, Q4 is higher than Q3 just from a seasonality perspective, which is a typical sort of seasonal pattern. Can you help us understand what you see from a quarter-on-quarter perspective on the underlying EBITDA in Q4 versus Q3? That would be the first question. The second question is just going back to the sunliquid discussion. I guess the most cynic argument will be -- your cynical argument is we saw the same pattern with other second generation projects where there was promising development at the pilot stage. But then as you try to scale it up on commercial level, there have always been some of the other issues like how different is the situation today with sunliquid with what we've seen with the other projects on second generation biofuel in the past? And third question is more on restructuring. Is this restructuring going to impact cash flow next year? Because we've been waiting for cash flow improvement. And so I'm just curious whether this restructuring sort of derails the cash flow improvement pattern at Clariant again. Thank you.
Bill Collins: Let me start with those, if I may? So turning to Q4 and our expectations there. We've already mentioned that we do expect some softening of demand in Q4, specifically in Care Chemicals and in Natural Resources. So that will have some impact. But another point to raise too that was actually in the release itself, that we had in Q3 a bit of a margin uplift associated with our ability to keep our selling prices high in the midst of moderate declines in raw material prices. So that actually provided some degree of uplift. It was the best case scenario, I think. As we go into Q4, we are actually expecting the raw material prices to stabilize. So we will see some catch up for formula based pricing. So we won't necessarily see that same uplift coming into Q4. So as we look at EBITDA margin levels in Q4, we are expecting to be lower than what we saw in Q3 on a sequential basis before any restructuring charges. And then on your question with regard to restructuring, yes, there will be a cash impact of the restructuring. So we would largely book the expense mostly this year, we think, but it will have an impact on Q4 as individuals start to leave the organization. However, this is not a derailing event in terms of free cash flow. This is something I see as very positive for our organization in terms of addressing the cost base. And with the other momentum that we have in free cash flow conversion, yes, it will have an impact, but I still believe that we're going to continue to show market improvement in this measure. And that's where pretty much everything that comes through, we are looking at in terms of how it impacts our 2025 commitments. And everything that we're talking about here today actually further solidifies our ability to achieve those.
Conrad Keijzer: Okay. Chetan [ph], also, I think I have a question on bioethanol and what is different than what competitors of us have done in the past. I'm not in a position here to talk on what competitors have done wrong in the past, but -- or failed to achieve, but what I will say is what I think is quite unique for the Clariant approach on second generation bioethanol is that not only does Clariant have a state-of-the-art laboratory in Planegg with some real skilled people in the area of biotech, but we also actually have a pilot plant up and running already for a period of almost 10 years. So there is actually quite a long experience with this already before we went to the scale up phase, what is -- which is the phase that we are at right now.
Chetan Udeshi: Thank you.
Conrad Keijzer: You’re welcome.
Operator: The last question for today comes from Jean-Baptiste Rolland from Credit Suisse. Please go ahead.
Jean-Baptiste Rolland: Hi. Good afternoon. Thank you for taking my question. I wanted to see if you can provide any details or quantify how much of your -- you've realized in the first 9 months of incremental EBITDA from efficiencies and market growth, please.
Conrad Keijzer: Yes, Bill, if you could take the question from …
Bill Collins: Yes. In terms of efficiency programs through September, we’ve probably delivered about CHF10 million in additional efficiency gains this year with regard to cost efficiencies. All of which part of the CHF110 million that we commented on in the Capital Markets Day last year as part of that overall program of activity.
Jean-Baptiste Rolland: And how much would you have -- you believe you have achieved on the CHF220 million in relation to market growth?
Bill Collins: We got CHF10 million savings in the first 9 months. And then the third quarter, it was CHF2 million of that CHF220 million. Sorry, sorry, Jean-Baptiste, is that what you're asking? How much did we realize?
Jean-Baptiste Rolland: Yes, I was …
Bill Collins: Okay. Yes, I got it. Yes, sorry. So of the CHF220 million EBITDA that we had in Q3 about CHF2 million of that was specific efficiency programs, sorry.
Jean-Baptiste Rolland: Okay. No, no, that’s clear. Thank you very much.
Andreas Schwarzwaelder: Okay. Ladies and gentlemen, that were all the questions we had on the queue. That then concludes our today's conference call. Obviously, if you have further questions coming up, please refer to the Investor Relations team. We look forward to continuing the dialogue with latest -- with the disclosure of our full year results 2022 on March 2, once again for joining the call, and have a nice afternoon.